Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Koppers Fourth Quarter and Full Year 2022 Earnings Conference Call and Webcast. [Operator Instruction] Please note that this event is being recorded. I will now turn the call over to Quynh McGuire. Please go ahead.
Quynh McGuire: Thanks, and good morning. I'm Quynh McGuire, Vice President of Investor Relations. Welcome to our fourth quarter and full-year 2022 earnings conference call. We issued our press release earlier today. You may access it via our website at www.koppers.com. As indicated in our announcement, we've also posted materials to the Investor Relations page of our website that will be referenced in today's call. Consistent with our practice in prior quarterly conference calls, this is being broadcast live on our website and a recording of this call will be available on our website for replay through May 27, 2023. At this time, I would like to direct your attention towards our forward-looking disclosure statement seen on Slide 2. Certain comments made on this conference call may be characterized as forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. These forward-looking statements involve a number of assumptions, risks and uncertainties, including risks described in the cautionary statement, included in our press release and in the company's filings with the Securities and Exchange Commission. In light of the significant uncertainties inherent in the forward-looking statements included in the company's comments, you should not regard the inclusion of such information as a representation that its objectives, plans and projected results will be achieved. The company's actual results, performance or achievements may differ materially from those expressed in or implied by such forward-looking statements. The company assumes no obligation to update any forward-looking statements made during this call. References may also be made today to certain non-GAAP financial measures the company has provided with its press release, which is available on our website, reconciliations of non-GAAP financial measures to the most directly comparable GAAP financial measures. Joining me for our call today are Leroy Ball, President and CEO of Koppers; and Jimmi Sue Smith, Chief Financial Officer. I'll now turn over the discussion to Leroy.
Leroy Ball: Thank you, Quynh. Good morning, everyone. I'm happy to sit in front of everyone today and report on the conclusion of a very successful year for the Koppers organization. Once again, we delivered record results for 2022 both for the fourth quarter and for the full year in a number of different categories. By adhering to our strategy to expand and optimize our unique vertically integrated business model serving key infrastructure markets, as you will hear today, we are reaffirming our long range growth plan of delivering $300 million of EBITDA by 2025, which would result in earnings per share of over $6 and significant free cash flow generation over that same time frame. Now let's begin with a closer look at a summary of the key metrics for Q4, on Slide 4. Consolidated sales of $483 million, a quarterly record, increased by $77 million or 19% compared with $405 million in the prior year. Excluding a $15 million unfavorable impact from foreign currency changes, sales increased by $92 million or 23%. In addition, we generated adjusted EBITDA of $52 million, which was a record quarter compared with the prior year quarter of $49 million in EBITDA. Our adjusted EBITDA margin was 10.8%, which is lower than where we'd like it to be, but in a funny way it actually gives me confidence that we're squarely on our path to $300 million, which I'll explain later in the call. Now, the fourth quarter generated adjusted earnings per share of $1.09, which is a new fourth quarter record compared with $0.77 for the prior year quarter. Operating cash flow was $35 million for the quarter. We deployed capital by spending $25 million in capital expenditures, paid out $1 million in dividends and spent $5 million in share repurchases. Slide 5 provides an overview of full year 2022 key metrics with consolidated sales of $1.98 billion, which represents record sales. Adjusted EBITDA was $228 million, reflecting a record year on profitability exceeding 2021 results of $223.5 million, and it's the eighth straight year-over-year improvement in EBITDA, excluding the since divested KJCC operations. The adjusted EBITDA margin for the year was 11.5%, which again is lower than our target than last few years performance, but I actually think it's a good sign of things to come. Adjusted earnings per share were $4.14, just shy of our 2021 record results of $4.21 and we generated operating cash flow of $102 million, the fourth straight year over $100 million and seventh year out of the last eight. Regarding capital deployment, we spent $105 million in capital expenditures gross and $100 million net. Both numbers are higher than where we plan to be, but indicative of spending that was pulled forward into 2022 that would have instead been spent in '23. But during the year, we also paid out our first dividend since 2014, a total $4 million throughout the year, we spent $24 million in share repurchases at an average price over 20% lower than where we've traded on average in the early part of 2023. A summary of some of our 2022 accomplishments is shown on Slide 6 with their ties back to the six pillars that underpin our strategy to expand and optimize Koppers as we work towards our financial goal of $300 million in EBITDA by 2025. And without getting into every item, I'd like to highlight a few actions to provide greater clarity on our progress. In network optimization, we continued upgrading our North Little Rock facility modernizing processes and improving environmental performance. Also, we further consolidated our footprint and sold our utility pole treating business in Sweetwater, Tennessee. We strengthened our business model by acquiring Gross & Janes, the largest independent supplier of untreated railroad crossties in North America, reinforcing our vertically-integrated business model and improving our supply chain processes. An additional benefit of this acquisition is, we expect to avoid future CapEx on certain projects that were previously in our strategic plan. We enhanced our product portfolio through our latest entry into the industrial oil-borne preservative mark with the introduction of our new DCOI products to replace pentachlorophenol for pole treatment. Between our DCOI products and increased market penetration of CCA, our Performance Chemicals segment was able to secure approximately $40 million in new industrial sales. In CM&C, our continued development of petroleum supplemental products across a variety of markets has helped to offset a declining market for raw material and secures our CM&C business well into the future. Regarding wood treatment expansion, Koppers purchased a 105-acre property in Leesville, Louisiana, which will increase our peeling and drying capacity for treating utility poles, reduce our cost of raw material into our Somerville, Texas plant and make us more competitive in the creosote pole market in that region. Our cradle-to-cradle approach continues to gain traction. Our Recovery Resources business entered into a new five-year $50 million agreement with a Class 1 railroad customer to collect and manage railroad crossties at the end of their useful life, repurposing them into new products and uses. These strategic pillars are critical to opening avenues to new markets for our existing products and developing new products to serve existing and emerging markets, as well as achieving cost savings and efficiencies. We remain highly focused on executing our expand and optimize strategy, while carefully assessing and managing risk to achieve our goal of $300 million in EBITDA by 2025. Now, as seen on Slide 8, last week we announced that our Board approved a 20% increase in the planned dividend rate for 2023 from $0.05 to $0.06 per share of Koppers' common stock. A quarterly dividend will be paid on March 27, 2023 to shareholders of record as of the close of trading on March 10. With this quarterly dividend rate subject to the standard quarterly review by the Board of Directors, the annual dividend rate for 2023 would increase to $0.24 per share. Now let's move on to a review of our Zero Harm efforts, as seen on Slide 10. In 2022, we had 19 of our 46 operating facilities working accident free for the entire year. While we still have much work to do, our total rate of recordable incidents in '22 decreased by 5% compared with the prior year. Zero Harm 2.0 is well underway. We are reenergizing our efforts and further engaging our frontline employees to accelerate our progress to zero. This comprehensive approach include frontline, training, enhancing their career path and emphasizing the role of our safety, health and environmental coordinators, improving data usage and sharing through our dedicated SH&E information system platform. Leveraging our Zero Harm counsels to align activities with industry and company safety standards and creating more outreach and impact of communications with our employees globally. We strongly believe that the key to Zero Harm is engaging with employees and leaders at a personal level. We know that when we increase leading activities aimed at health and safety, we can reduce the number of serious incidents. Zero Harm 2.0 is focused on intensifying conversations about safety, making our training more impactful and creating time to meet our employees in their most receptive place to talk about their health, safety and well-being. The very foundation of Koppers is in our Zero Harm culture, and my appreciation goes out to our employees worldwide for staying relentlessly focused on safety. Now, I will turn the discussion over to our Chief Financial Officer, Jimmi Sue Smith.
Jimmi Sue Smith: Thanks, Leroy. This morning's press release provided our results for the fourth quarter and year end 2022. My comments here are based on that information. On Slide 12, as Leroy said, our fourth quarter consolidated sales were a record $483 million, up 19% compared to the fourth quarter of 2021. By segment, RUPS sales increased $37 million or 24% from the prior year quarter. PC sales increased $22 million or 18%, and CM&C sales increased $18 million or 14%. As shown on Slide 13, Koppers also delivered record consolidated sales for full year 2022 at $1.98 billion, an increase of $300 million or 18% over the prior year. By segment, RUPS sales increased by $58 million or 8%. Sales for PC increased by $77 million or 15%, and CM&C sales increased by $157 million or 37.5% compared to the prior year. On Slide 14, fourth quarter adjusted EBITDA was a record $52 million or 11%. By segment, in the fourth quarter, RUPS generated EBITDA of $13 million or 7%. PC had EBITDA of $18 million or 12.5%, and CM&C had EBITDA of $21 million or 14%. Slide 15 shows record adjusted EBITDA for full year 2022 of $228 million or 11.5%. By segment, for the full year, RUPS generated EBITDA of $54 million or 7%, the PC segment had EBITDA of $76 million or 13%, and CM&C had EBITDA of $99 million or 16%. On Slide 16, RUPS had record fourth quarter sales of $193 million compared with prior year sales of $156 million for the fourth quarter. The improvement was primarily due to pricing increases in crossties and utility pole, higher volumes in commercial crossties and an increase in activity at our maintenance of way businesses. While market prices for untreated crossties remain at relatively high level, we are seeing some stabilization occurring. Compared to the prior year, crosstie procurement in the fourth quarter was up 60%, while crosstie treatment declined by 12%. Adjusted EBITDA for RUPS came to $13 million, up from $6 million in the prior year quarter. These results were driven by ongoing price increases and improved capacity utilization from higher crosstie volumes, partly offset by higher raw material and operating costs. On Slide 17, PC had record fourth quarter sales of $141 million, up from $119 million in 2021 as a result of higher volumes in the Americas and price increases implemented globally, offset in part by volume decreases in Europe and Australasia. Adjusted EBITDA for PC in the fourth-quarter was $18 million compared with $19 million in the prior year. Higher overall raw material costs, including working through higher cost inventory, continued to impact profitability as they were not completely recovered through global price increases. As a reminder, we had a large tranche of customer contracts that did not allow us to pass on unhedged cost increases during 2022. These contracts expired at year end and have been replaced with new contracts that capture the current pricing environment starting in 2023. Slide 18 shows CM&C fourth quarter sales of $149 million compared with $131 million in the prior year. This was primarily driven by higher prices across product lines and geographies, along with strong demand in a market experiencing limited supply. These factors were partly offset by volume decreases in Europe and North America. CM&C adjusted EBITDA was $21 million compared with $25 million in the prior year quarter, reflecting higher raw material costs and other operating expenses, offset in part by a favorable pricing environment. Compared with the third quarter of 2022, the average pricing of major products was 7% lower and average coal tar costs were 7% higher. Compared with the prior year quarter, the average pricing of major products increased 40% and the average coal tar costs were higher by 42%. As shown on Slide 20, we remain committed to a balanced capital allocation approach that includes investment in the business, returning capital to shareholders through dividends and share repurchases as well as reducing leverage as appropriate. At year end 2022, we had $784 million of net debt and $412 million in available borrowing capacity. Our net leverage ratio was 3.4 times as of December 31, 2022, a slight increase from the prior year end, but a slight decrease from the preceding quarter despite funding the acquisition of Gross & Janes in the fourth quarter of 2022. And on Slide 21, total capital expenditures in 2022 were $105 million and $100 million net of cash proceeds. We spent $49.5 million on maintenance, $20.5 million on Zero Harm and $35 million on growth and productivity projects. By business segment, $47 million went to RUPS, $11 million to PC, and $46 million to CM&C, and $2 million to corporate project. And with that, I'll turn it back over to Leroy.
Leroy Ball: Thank you, Jimmi Sue. The next step, I'd like to offer a quick review of some notable happenings across the company. Slide 23 shows that Koppers was named as one of America's Most Responsible Companies in 2023 by Newsweek magazine for the third consecutive year from a pool of more than 2,000 companies across 14 industries. This honor again recognizes our company's performance in environmental, social and governance areas, and all the credit goes to our team members worldwide who understand that short-term financial success only matters if we maintain the health of our company for generations to come. The Manufacturing Institute honored Leigh Ann Richardson, our Senior Manager of Regulatory Affairs, with its Women make America Award, Celebrating outstanding female leadership in the manufacturing industry. Leigh Ann is not only great at what she does, but she's an outstanding human being as well. We congratulate Leigh Ann and salute her for representing Koppers in such great fashion. Now let's take a look at what I expect will be the keys to our success in this coming year. The top two to three things that we'll be watching closely in each business that will determine our success in reaching our $250 million adjusted EBITDA goal this year. So let's jump-in. Starting on Slide 25 with Performance Chemicals. There are three areas that we'll be keeping a close eye on. First is price, and we talked to all last year of how we were continuing to honor our multi-year agreements and essentially absorbed significant cost increases in just about every category, except copper, where we were predominantly hedged. We're playing the long game, and negotiating new pricing that will take effect on 1/1/;23. Well, those increases are now in effect and with one month under our belt in '23, we're tracking to annualized price increases of over $60 million. Now, it's important that in this process we don't lose much market share, and so far so good. We lost some volume to a couple of customers who are looking to diversify their supply base, but we've also picked up volume from a major treater that had a decade-long relationship with one of our competitors. Now, it's still early but so far this key to success seems on the right track. The second key to success for PC is '23 is residential demand not falling through the floor. Now we've modeled a 5% to 10% decline in year-over-year base volumes, and that excludes any net gains or losses in share. The first month of the year was challenging from a volume standpoint finishing close to 20% down from January of '22. Now despite that, we still saw higher year-over-year profitability from PC based on the first key to success, price. The macro data doesn't look that encouraging, existing home sales comps continued to drop, and repair and remodeling spending continued to decelerate. That said, we've already seen some volume recovery in February, and I still feel good about our expectations this year for PC if we can keep organic volume decline to 10% or less. Now, the third key one that's definitely going our way is replacement of the non-coppers produced industrial preservative Penta with Koppers produced products such as CCA and DCOI. In 2022, we experienced a 33% increase in our industrial sales volumes and in January of this year, those volumes were up 40% compared to January of last year. That rate of increase will most certainly not hold as our volumes continue to increase throughout last year so the comps will get tougher, but we will definitely get a boost in 2023 if Penta continues to get phased-out after losing its EPA registration in the US and Canada. Now, the Utility and Industrial Products division of our RUPS business as seen on Slide 26 continues to enjoy strong demand across the board. That's why the first key to success for UIP in '23 is keeping our facilities running uninterrupted in order to serve customer demand. We did a lot of work in '21 preparing our facilities for the change away from treating with Penta are also adding critical filling and drying assets. Coming out of that, our focus shifted to recouping cost increases that have crept up on us in '21 and '22, we've done a great job of maximizing the value of our products in a short market. Well, the short federal funding of new broadband or renewable energy projects are driving construction activity while aging infrastructure is acquiring utilities to accelerate pole replacement programs. In addition, more frequent and intense weather events have factored in the need for our storm response capabilities in helping communities bounce back from these life-altering events. Hurricane Ian alone require the production and shipment of 13,000 UIP poles to various utilities. Now, the UIP team really began hitting their stride in May of last year and that's continued into '23. January, which is seasonally slower month, turned in to their third most profitable month ever in the time we've owned the business. Last year was their best profit year ever, beating the previous best by over 30% and this year should comfortably exceed last year, maybe by even as much as 30% again. The second key for UIP this year is getting the Leesville, Louisiana facility producing dry product by the third quarter. This site will feature Summerville, Texas treating facility and serve the Texas market for creosote poles. At this point, the property has been cleared and drilling is about to begin. The equipment has already been constructed. So we just need a prep site to have it installed. The sooner this happens, the sooner we'll be able to supply this underserved market. In the Railroad Products and Services division of RUPS on Slide 27, it all starts with rebuilding our dry inventory as soon as we possibly can. Our dry inventory has been decimated over the past couple of years with the struggles to get green ties. And we're back at purchasing rates that are in line with current demand, but those rates will need to increase even further, and they are, if we're going to achieve a dry inventory level that gets us away from using cylinder time to drive a large portion of our ties. Second key for RPS will be recouping the value of our creosote preservative in the market. And when I get to CMC, I'll talk about some of the dynamics that have significantly affected the market for coal tar raw-material in '22 and the early part of '23. As a result, the price of our raw material is now in excess of what we're receiving as compensation from our RPS customer base, and that have to change. We've been successful in making needed price adjustments with several customers and are working on the same with a couple of others. The industry needs this to maintain a healthy supply chain, and I'm hopeful that they can see that and we get to a good answer as soon as possible. The final key for RPS in '23 is getting the North Little Rock expansion finished by midyear. It's unfortunate that the timing of this project coincided with the COVID pandemic, but we can finally see the finish line ahead. The plant is looking great, as evidenced by the pictures on this page and will be one of the most, if not the most, efficient treating facilities with the sustainability footprint much more befitting where the world is moving. Slide 28 features our Carbon Materials and Chemicals business. Now the first key for CMC entails managing through this challenging raw material market, which only got more challenging with the recent earthquake in Turkey. We accessed the Turkish tar market relatively infrequently, but it has become a more viable option in the past year with the loss of tar from Russia and Ukraine. Now, it too will struggle in the near term to produce, further straining the market for spot material. To be clear, we are under contract for the vast majority of our supply needs but are passing on opportunities to supply more as a result of a very constrained raw material market. The second key for CMC is to continue pushing the acceptance of petroleum blended products. And what does this mean? And why is it important? Well, as the supply of coal tar raw material has shrunk, our ability to maintain similar sales volumes depends upon our ability to supplement coal tar with petroleum products. Petroleum blended or hybrid type products have been around and accepted for years, but with a greater than typical supply-demand imbalance, the importance of shifting more customers to hybrid products or in some cases, changing the blend has become even more critical. Now, the one market that hasn't shifted over the years, a relatively small one, is the utility pool market, and we're actively working to try to make that happen. The final key for CMC this year is seeing a demand environment that's not negatively impacted by recession. And we've modeled similar year-over-year demand into our models, and there was pent-up demand in '22 that couldn't get filled because of some of the raw material restrictions, which is carrying over to '23. So even if a recession does have a modest impact on our end markets, we believe there's enough backlog to work through and get us through this year. So moving to our '23 guidance on Slide 30. Our sales forecast for '23 is approximately $2.1 billion compared with $1.98 billion in '22, with all businesses expected to see some top line increase. For RUPS, it will be a combination of price and volume. For PC, it will be price, offset by forecasted volume declines. And for CMC, it is a little bit of price on flat volumes. On Slide 31, our '23 EBITDA -- adjusted EBITDA projection is at $250 million. On a comparable basis, this will be our ninth consecutive year of EBITDA growth and will be the largest year-over-year increase since 2015. For all the reasons previously mentioned, RUPS and PC should see nice gains in profitability in '23, while CMC is forecasted to take a step back. On Slide 32, our adjusted EPS guidance for '23 is approximately $4.40 compared with $4.14 in the prior year. Higher average interest costs will take a significant bite out of earnings growth generated through operations, but 2023 should still finish at our highest adjusted EPS in company history, surpassing the $4.21 achieved in 2021. On Slide 33, we anticipate that our capital spending will be approximately $105 million in 2023, similar to 2022 levels. Required spending on maintenance and Zero Harm will once again approximate $65 million with approximately $40 million dedicated to finishing our significant growth in productivity projects. Those include the North Little Rock expansion, the Leesville peeling and drying facility, the new grinding mill for Performance Chemicals and the enhanced carbon products project at our Nyborg, Denmark facility. Moving to Slide 34, you can see our expected path to $300 million of EBITDA. At our Investor Day in September 2021, we estimated it would take $250 million to $300 million in capital over a five-year plan to get us from $211 million in EBITDA in 2020 to $300 million in '25. We now have two years in the books in the third year estimated, the total of which comes to $127 million, or $142 million if we count the Gross & Janes acquisition since it displaced other capital that we would have had to spend. At this point, I can tell you, we should not need to spend another $108 million to $158 million of growth capital in '24 and '25 to reach our goal of $300 million EBITDA. I'm not saying we won't because we still have some really attractive high-return projects in the queue, but what I am saying is that for what we ultimately incrementally spend beyond this year, you should expect more EBITDA to come from that, that is more than $300 million. And we mentioned at Investor Day that our $300 million target was achievable through our actionable projects and not dependent upon market growth or M&A. Well, by the time 2023 ends, we expect that we'll have seen a slight decline in PC and CM&C markets since the beginning of the plan, a flat RPS market and an increase in UIP. So, on a net basis, there really isn't anything that will have contributed to our results in the first three years of the plan coming from organic market growth. However, we should see a contribution that was not factored in, which is in the net impact of inflation that's still running through our results. I mentioned at the top of the call that I thought our lower margin this year was actually a positive sign of things to come. The reason is, we believe that we realized there were $20 million of project benefits in our '22 results, you only saw a $5 million improvement in adjusted EBITDA. That means at a minimum, we did not recover $15 million in cost increases. And if you look at the margin drop in 2022 of 180 basis points and apply that to our 2022 sales, it would indicate that we were upside down by at least $35 million in the cost price dynamic. If we believe in the value of our projects, the $20 million-plus of project benefits that we added to EBITDA this past year would have been margin accretive. So, the $35 million number is actually even larger. Now some of that will be given back as reflected in our 2023 expectations for CM&C as markets moderate. But my point is that we get print in PC and RPS, we should be in a position to achieve our target of $300 million in '25 with just the completion of the projects that we have in this year's plan. And that means we'll have more choices as to where to deploy the increased free cash flow that we should be generating at that time, which is a great problem to have. In summary, we continue to strengthen the competitive advantage around our business that puts us in the best position to increase sales and profitability. Koppers is a steady recurring revenue niche business with significant barriers to entry. While the underlying demand trends for our markets don't provide a great amount of growth, they remain relatively healthy and provide a consistent foundation that we continue to optimize, while also taking advantage of the opportunities to expand where returns warrant. As you've heard throughout the prepared remarks, we remain focused on executing our strategy to expand and optimize our business and meet our goal of delivering $300 million in adjusted EBITDA by 2025. With that, I would now like to open it up for questions.
Operator: [Operator Instructions] Our first question is from Liam Burke with B. Riley FBR. Please go ahead.
Liam Burke: Yes, thank you. Good morning, Leroy. Good morning, Jimmi Sue.
Leroy Ball: Hi, Liam.
Jimmi Sue Smith: Good morning.
Liam Burke: Leroy, there's lots of puts and takes on the PC margins. You've got price increases coming through. You've got volumes coming down. Typically, it's been one of your best profit producers. If I take a look at the puts and takes and looking for improvement on the margins, do you see that business approaching historical profit margin levels over time?
Leroy Ball: Liam, there's no question we do. I mean, the only thing that's fundamentally changed in that business in the past year was, again, our holding the line, if you will, on not passing some of the cost increases through -- non-copper cost increases through to our contracted customers. And so, we took it on the chin this past year as a result of that. And I can tell you through the whole back half of the year, we were in some pretty spirited discussions to get the cost pass-through effective 1/1. And so, as I alluded to in my remarks, we've actually seen that reflected in the early part of this year. So, for us, the question is, are volumes going to -- where our volume is going to be at this year, right? And some of it, again, the data doesn't point in a great direction. We've already seen year-over-year volumes less in the early part of the year, but we do think that as the year moves on, the comps get a little bit better, and we think that we should be comfortably within that 10% decline for the year. And that's just, again, what's been a very, very hot market for repair remodeling over the past couple of years, just pulling back a little bit and probably catching its breadth. Longer term, as things begin to move back in what I would think a consistently positive direction, we're going to be in a really good position to continue to make good returns in that business. Getting margins is clearly back up into the high teens in around that 20% mark. So that's what we're targeting. And I think, beginning by the back end of this year, we should start to see margins that are approximating somewhere closer to what we have historically seen in the past.
Liam Burke: That's great. And sticking with PC, you had high-cost inventory that ran through the profit and loss statement in the fourth quarter. Have you run through all that inventory? Or are you still carrying that on the books as we finish the year?
Leroy Ball: I'll let Jimmy Sue respond to that.
Jimmi Sue Smith: Thanks, Liam. We go through the substantial majority of it in the big product lines. There's still maybe one or two ancillary of raw materials where we have some higher cost still on the books, but we are through the vast majority.
Liam Burke: Okay, great. Thank you, Leroy. Thank you, Jimmi Sue.
Leroy Ball: Yes, thanks.
Operator: The next question is from Laurence Alexander with Jefferies. Please go ahead.
Laurence Alexander: Good morning. Can you give a sense for how far the shift is in industrial preservatives and how you think the end game will look, both how long it will take for the transition and where you see kind of the net contribution by, say, '26 or '27?
Leroy Ball: Well, there's a lot in there, Laurence. I'll say that there is a transition period to essentially move away from Penta. We began that transition from a trading standpoint early. Those were the conversion projects we were doing in '21. So, we're -- beginning last year, we have no longer been actually treating with Penta. We've been treating with either CCA, depending upon where the business shifted to either CCA or copper naphthenate. DCOI has now been introduced as well, and we're looking at a potential conversion project there. I'd say that at this point, it's tough to say where it's at in terms of the overall shift, but we've worked hard to try and move individuals off of Penta. At this point, it's been now, I think, a year since it's been actually actively produced. So, basically the suppliers have been running through inventory and drawing down inventories as they transition. I would say, by the time we get through this year, I can't imagine there's going to be a whole lot left that's out there. So, I would say, the vast majority of the shift, I would expect, would have been completed by the time we get through the end of this year. And again, we're seeing it reflected in the significant volume increases that we're seeing year-over-year in our CCA and now our new DCOI category. So, once we get into 2024, I would think things would start to, if you will, flatten out in terms of replacement of Penta and it will be more along the lines of whatever the organic growth rates might be.
Laurence Alexander: Okay. Great. And then, with the steel and aluminum exposure in CMC, can you talk a little bit about how the supply dynamics are different this cycle? If there is a recessionary slowdown, how much less cyclicality you might see compared to the last two downturns?
Leroy Ball: Yes. Well, I think with where we're at right now, and obviously it depends on how deep things could get. There's -- with what we're dealing with now, there's such a, if you will, a backlog of demand that everybody has been trying to work through that I think helps to absorb the blow, if you will, as things pull back. And that's really, I think, our expectations for this year is that whatever happens, if you will, from a global macro standpoint that essentially the backlog may diminish there may be projects that get shelved and things like that. But it's not eating into -- we're not essentially working to new orders at this point. So we feel pretty confident that at least through this year, we should be in pretty decent shape. We'll see as the year goes on how projects get added or not and where we might stand going into '24. But at least as it stands for the current year, we think we're not totally insulated but in pretty decent shape to provide an even softer demand profile as the year goes on.
Laurence Alexander: Okay. Great. And then, just one last one just on the capital profile. Can you give your current thinking around potentially refinancing debt earlier? It seems like every couple of weeks, people on the credit side flip flop as to whether we're heading to higher rates for longer or sort of it's better to wait to see how rates contract sort of over the next 18, 24 months. But just can you give us a sense for how you're thinking about managing sort of the risk on the refi side?
Jimmi Sue Smith: Thanks, Laurence. This is Jimmi Sue. We are constantly monitoring the market, and certainly we'll be looking for a productive window here in 2023 to avoid the bonds going current in early '24.
Laurence Alexander: Okay, great. Okay. Thank you.
Operator: Showing no further questions, this concludes our question-and-answer session. I would like to turn the conference back over to President and CEO, Leroy Ball, for any closing remarks.
Leroy Ball: Thank you. And I just, again, want to thank the employees of Koppers for a great performance in 2022. A lot of hard work went into achieving the results that we were able to post for this past year. We feel great about the next couple of years coming and, again, look forward to delivering upon the plan that we have presented. And thanks, everybody, for your support.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.